Operator: Greetings, and welcome to KORE Group Holdings, Incorporated First Quarter 2025 Earnings Call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the conference over to your host, Vik Vijayvergiya, Vice President of Investor Relations and Corporate Development. Thank you. You may begin.
Vik Vijayvergiya: Thank you, operator. On today's call, we will refer to the first quarter 2025 earnings presentation, which will be helpful to follow along with as well as the press release filed this afternoon that details the company's first quarter 2025 results. Both of these can be found on our Investor Relations page at ir.korewireless.com. Finally, a recording of the call will be available in the Investors section of the company's website later today. The company encourages you to review the safe harbor statements, risk factors and other disclaimers contained on this slide and today's press release as well as in the company's filings with the Securities and Exchange Commission, which identify specific risk factors that may cause actual results or events to differ materially from those described in our forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after this webcast. The company also notes that it will be discussing non-GAAP financial information on this call. The company is providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States or U.S. GAAP. You can find a reconciliation of these metrics to the company's reported GAAP results in the reconciliation tables provided in today's earnings release and presentation. I'll now turn the call over to Ron Totton, the company's President and Chief Executive Officer.
Ron Totton: Thank you, Vik, and good afternoon, everyone. Thank you for joining us for our first quarter 2025 earnings call. With me today is Paul Holtz, KORE's Chief Financial Officer. On today's call, I will provide an update on the company's business highlights of the first quarter and then turn the call over to Paul to go through the financial results. After which I will share our view on the financial guidance for 2025 before turning the call over to the operator for Q&A. Looking at the first quarter, you will see improvement in our operating performance across the business. We have delivered two consecutive quarters of positive free cash flow, and our connections continue to grow as we approach 20 million total connections at the end of the first quarter. We can also show progress on our focus on profitable growth as our IoT Solutions non-GAAP margin show significant improvement. We are showing the full benefit of our restructuring efforts announced late summer 2024 with a $7.6 million decrease in operating expenses in the quarter as compared to the same period a year ago. With our transformation successfully in the rearview mirror, our top priority is growth as part of our value creation plan, which I will share later in the presentation. On Slide 6, as we look at the headlines, our first quarter revenue was $72 million, which was $4 million lower and adjusted EBITDA of $14.5 million, a slight decline. This is a tough comparative quarter based on some onetime usage spike with a handful of customers in Q1 2024. We also elected to exit low-margin products that we spoke about during our last call. That said, our adjusted EBITDA margin improved by 60 basis points to 20%, and we anticipate this to continue to improve. Although we are only six weeks into Q2, we are encouraged by our financial results thus far, having had a strong April driven by connectivity revenue with no impact of tariff policies on our performance thus far. In Q1, we generated $2.9 million in cash flow from operations, up $1 million from the same period last year. That resulted in free cash flow of $0.6 million for the first quarter of 2025. Generating cash is the top priority, and we are pleased to have a second consecutive quarter of positive free cash flow. We expect this trend to continue and improve as the year progresses. Moving on to Slide 7, and let's delve into our IoT Connectivity highlights for the first quarter. Total connections have increased by 8%, nearing the 20 million mark. We are beginning to see the positive impact of connections ramping up from sales in 2024, which will lead to revenue growth and contribute positively to ARPU. On Slide 8, as we mentioned on our last call, we have shifted to estimated annual recurring revenue, or eARR, to share our expected growth of recurring revenue in place of the previous metric of TCV, or total contract value. eARR better illustrates our recurring revenue business model because it shows steady-state recurring revenue as customers increase their device count or usage patterns. eARR multiplies the estimated monthly recurring revenue in the 12 months of the contract by 12, to estimate the annual recurring revenue. We believe that this key performance metric is useful to management and investors for forecasting purposes, and also for understanding the financial health of our subscription-based business. This change is part of our ongoing effort to simplify and improve our reported metrics. We are confident eARR will be more effective for predicting future earnings and demonstrating debt-free cash flow. Turning to our pipeline. We have broken out our total connectivity pipeline into new opportunities, which totaled nearly $52 million in eARR and opportunities with existing customers, which totaled nearly $30 million in eARR for the quarter. We are seeing growth in this measurement, especially with new logos. On the right-hand side is the closed won eARR, which totaled over $6 million for new and existing opportunities in the quarter. We expect these numbers to grow as we embark upon our multifaceted strategy for growth, which includes growing our existing customer base, which is nearing 20 million total connections, prioritizing our new business focus on key verticals in select geographies, leveraging our indirect channels and strategic partnerships, and increasing our use of Agentic AI tools to drive digital marketing growth initiatives. Going to Slide 9. We highlight several wins that continue to demonstrate our value proposition, which is resonating for customers in a variety of industries and use cases. First, in the cloud communications space, KORE was chosen for its streamlined all-in-one approach to hardware and connectivity, which simplified procurement and deployment. Competitive pricing on connected devices and data plans added further value, while the ability to scale quickly with additional units supported their growth plans. In the global HVAC manufacturing space, KORE won due to its compelling commercial proposition, robust connectivity features and proven track record within other divisions of that organization. The offering included ruggedized laptops with high-bandwidth connectivity, and multi-IMSI capabilities to ensure reliable coverage across regions, enhanced by eSIM flexibility. Multi-national IoT alliances is another area where KORE is making an impact. KORE was chosen for its ability to deliver reliable, high-performance global connectivity, an essential requirement for their international customer base. Supporting EV charging stations in local markets like Turkey, the solution leverages a strong local network to ensure stable connectivity for critical functions like remote monitoring and payment processing. Lastly, we expanded our footprint in remote patient monitoring. The client selected KORE for its ability to deliver seamless multi-carrier connectivity, combined with pre-configured tablets and mobile device management for its remote patient monitoring needs. A key differentiator was the integration with the strategic device partner, which reinforced the value of a unified end-to-end offering. These wins alone are expected to deliver a combined $2.1 million in estimated annual recurring revenue. I would like to draw your attention to a press release that was issued earlier this week with Winnebago, in which we are a technology enabler for their next-generation RV platform, Winnebago Connect. This is a market leader that is revolutionizing its industry and will support customers as they explore the world in a more connected, secure and user-friendly manner. On Slide 10, prior to examining the financials, I'd like to present KORE's value creation plan I spoke about earlier. This is our strategic road map aimed at fostering sustainable long-term growth and enhancing shareholder value. This plan is built on the vision to be a trusted global leader in IoT Connectivity Solutions for over 100 million plus connected devices, enabling a smarter, more connected world for all. And with that vision in mind, our mission is to empower innovators to deliver transformative solutions that deliver impactful outcomes to the customers and communities they serve. The plan to deliver on this vision and mission is focused on five key priorities: customer intimacy, product innovation, profitable growth, operational excellence, and a culture of winning. Allow me to elaborate on each of these pillars. Firstly, customer intimacy. Central to our strategy is an unwavering commitment to our customers. We want to be loved by our customers. We are strengthening relationships by actively listening, anticipating needs and providing solutions that drive value and impact to these customers. Our approach includes meticulous monitoring of customer operations and satisfaction metrics through customer health dashboards, investments in tools supporting customers such as the ServiceNow AI tools we spoke about last earnings call, and platform enhancements for resilience and feature improvement. Feedback from customers is very positive, and they welcome our focus on customer intimacy and leveraging technology to improve the customer experience. Secondly, product innovation. We're committed to developing next-generation products and solutions that will shape the future of our industry. Innovation encompasses not just technological advancement, but also addressing real-world challenges in superior ways that will make a meaningful business impact for our customers. We are expediting our R&D cycle using AI development tools, expanding the use of cloud capabilities, hosting hackathons and providing product and technology feedback from our customer advisory board to ensure our innovations drive benefit to customers with commercial applicability. Our investments in Super SIM, the ConnectivityPro platform, eSIM, dual profiles, advancing SGP.32, exemplify our dedication to product innovation. Thirdly, profitable growth. Our focus is on increasing revenue without compromising profitability. This entails pursuing intelligent disciplined growth, venturing into high-margin segments, scaling in priority markets and meticulously managing our portfolio to ensure every initiative contributes to shareholder value. Early indicators of success are evident in our improving operating results and profitability measures, along with the initial positive trends in our sales pipeline and growth in total connections. Fourthly, operational excellence. Our scale and efficiency serve as a competitive edge, and we are intensifying our efforts in this area. By closely managing operating expenses, digitizing internal processes, leveraging AI and optimization tools and techniques, we are constructing a more agile and cost-effective organization. This enables reinvestment in innovation, compensation for our employees and enhanced outcomes for our shareholders. Lastly, culture and building a winning team. This strategic vision is unattainable without the right talent and culture. We are dedicated to cultivating a high-performance inclusive environment where exceptionally talented people flourish. We have aligned incentives, reinforcing accountability and fostering a culture that emphasizes collaboration, ownership and winning. We believe by focusing on these areas, we can further unlock long-term value for KORE. We have already commenced making progress with a significant investment into learning and development and remain confident in our trajectory. I anticipate sharing further development in these five priority areas as we continue to execute on this plan and deliver impactful results to our customers, employees and investors. And now let's turn the call over to Paul for the financial results.
Paul Holtz: Thanks, Ron, and thanks for those joining us this evening for our first quarter results. Looking at these results on Slide 12. Total revenue for the first quarter decreased $3.9 million or approximately 5% year-over-year to $72.1 million. Breaking that down by business lines, IoT Connectivity revenue of $53.9 million decreased approximately 7% year-over-year and represented 75% of first quarter revenue. The decline in IoT Connectivity is primarily due to a tough comparison quarter year-over-year as the company had some onetime usage revenue from a small number of customers and the low ARPU CaaS business, which we had previously communicated with being migrated away from KORE also contributed to the decline. IoT Solutions revenue increased approximately 1% year-over-year to $18.2 million or 25% of first quarter revenue. Overall non-GAAP margin in Q1 2025 was 54%, a decrease of 97 basis points compared to the first quarter in the prior year. By business line, non-GAAP IoT Connectivity margin was down 200 basis points year-over-year to 58.8%. Again, this decrease in margin is mainly due to the higher usage revenue in the prior year quarter. Non-GAAP IoT Solutions margin was up 370 basis points year-over-year to 39.9%. Total connections at the end of the first quarter were 19.8 million, an increase of 1.5 million year-over-year. Average revenue per user per month or ARPU for the current quarter was $0.91 compared to $1.05 in Q1 2024. The decrease in ARPU year-over-year was due to the combination of higher usage in the previous year and the recent additions in connections in the previous quarter coming from lower ARPU use cases. DBNER for the 12 months ended March 31, 2025, was 99% compared to 94% in the prior year. The increase in DBNER was mainly due to the stabilization of IoT Solutions revenue over the past 12 months versus the previous year being impacted by decline in IoT Solutions revenue due to our number one customers' LTE transition project in 2023. As a reminder, DBNER is similar to same-store sales as it measures the growth of existing customers in the trailing 12 months compared to the same customer cohort in the year ago period. Turning to Slide 13. Operating expenses in the first quarter were $41.6 million, a decrease of $7.5 million or 15.3% compared to Q1 2024. The change in operating expenses is due to decreases in headcount-related costs, net of severance of approximately $6.5 million, a noncash foreign exchange gain of $2.8 million offset by approximately $1.5 million in less capitalization of internal software development costs. First quarter interest expense, including amortization of deferred financing fees, increased slightly year-over-year to $13 million versus $12.9 million in the first quarter of 2024. Net loss in the first quarter was $14.9 million compared to $17.6 million in the prior year. The decrease in our net loss of $2.7 million year-over-year was primarily attributable to the improvement in operating expenses described earlier, offset by an increase in tax expense and less margin from the decline in revenue year-over-year. Adjusted EBITDA in the first quarter was $14.5 million, a decrease of $0.3 million or 2% compared to the prior year. The $0.3 million decrease in adjusted EBITDA, which was attributable to three main reasons: one, a benefit from the decline in gross OpEx of approximately $3.5 million to a total of $27.1 million or $25 million net of capitalized internal software development costs; two, a $1.5 million negative impact to adjusted EBITDA year-over-year due to a reduction in capitalized internal software development costs; and three, a decline in non-GAAP margin dollars of approximately $2.3 million due to the decline in revenue year-over-year. Finally, moving to cash flows. Cash provided by operations in the first quarter was approximately $2.9 million. This compared to cash provided by operations of $1.9 million in Q1 2024. Free cash flow, measured by cash provided by operations less cash used in investing activities was positive $0.6 million in Q1 2025 compared to negative $2.8 million in the prior year quarter. Free cash flow was positive for the second consecutive quarter and is expected to continue to be positive for the rest of 2025 ramping as the year progresses. As of March 31, 2025, cash was $19.7 million compared to $23 million as of March 31, 2024. And with that, I'll pass it back to you, Ron.
Ron Totton: Thank you, Paul. On Slide 14, this should not come as any surprise since we just spoke about it a few weeks ago, but we are maintaining our guidance in 2025 for revenue, adjusted EBITDA and free cash flow. We expect revenue in the range of $288 million to $298 million, reflecting 2% year-over-year growth, which factors in the exit of unprofitable contracts and product lines, and positively contribute to overall profitability. Adjusted EBITDA in the range from $62 million to $67 million, representing a 19% increase year-over-year. And free cash flow in the range from $10 million to $14 million, a significant 443% year-over-year improvement. As we sit here today in the fifth month of the year, I believe we're in a good position. And as a team, we are focused on the right areas to ensure we deliver on our commitments. On Slide 15, I want to step back and show you how far we've come and where we're headed. The charts on this slide illustrate our strong financial performance driven by effective execution. The bar chart depicts our revenue growth, which is projected to rise from $277 million in 2023 to $293 million in 2025, showcasing our modest but steady growth as we transform the company. Adjusted EBITDA reflects a healthy and above-market increase moving from $55.6 million to $64.5 million indicating improved operational efficiency. And most notably, the free cash flow demonstrates a positive turnaround from a negative $26.6 million in 2023 to a positive $12 million in 2025, highlighting our commitment to generating cash and enhancing shareholder value. The percentage increases noted 6%, 16% and 145% represent growth rates that emphasize our financial trajectory. Overall, these figures underscore that our strategic initiatives are working and give us a positive outlook for the coming years. Before we open the call to Q&A, I want to thank the KORE team for their hard work and commitment to excellence. We have asked a lot of our team in the past year, and they have stepped up and delivered and are energized by our improved performance. Our results are only made possible by the grit and determination of our team that they have shown in the past several quarters. With that, thank you, everyone, for listening, and I look forward to your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Scott Searle with ROTH Capital Partners. Please state your question.
Scott Searle: Thanks for taking my questions. Hi Ron, maybe just to dive in quickly on the eARR. I'm wondering - I'm not sure if I heard it, but are there historic numbers and comps year-over-year to kind of give us an idea about how that pipeline has changed and shifted. And what are the sales cycles looking like in the current environment, just given the current macroeconomic climate and provisioning time lines? And I had a couple of follow-ups.
Ron Totton: Sure. Thanks, Scott. In terms of comps for eARR, we don't have those. I think that's something we can follow-up on. Previously, you would recall that TCV used both connectivity and solutions as well as hardware. So it was a combined where with eARR is really only the connectivity of the recurring revenue. So it's not a straightforward as extrapolation from one to the other. So that's probably something we can follow-up on separately to give you a like-for-like comparison, which is the connectivity piece. In terms of sales cycles, I know we spoke about tariffs as only a couple of weeks ago. I would say I'm really encouraged by the sales cycle. In fact, if you look at the results that we had in April that I commented on, but even some of the new sales and the growth in connections we saw probably two things. One is we saw for customers that had connected devices, along with connectivity, we probably actually saw an acceleration of them buying, because of the uncertainty of what tariffs might mean. And then, of course, the tariff situation has been sort of changing business that we've been projected to close has effectively kind of closed right on schedule. So we haven't seen elongated sales cycles. If anything, we would have probably seen things compress a little bit with some of that tariff uncertainty, which - that it's a fluid situation. But yes, that's my answer on your first two questions, but it sounds like maybe you've got a couple more.
Scott Searle: Yes, that's okay. Yes. One for Paul. On the OpEx front, I just want to clarify, I think the number was around $27 million this quarter. But in some of the adjusted tables that you've got, there are some charges for integration, I think, of $4 million and otherwise. So what is the normalized OpEx number that we should be thinking about going forward? And from a product gross margin standpoint, I think three of the last four quarters, you've been in the 40% or so range. Is that the new norm now? I know you guys have been walking away from less profitable business. But just want to clarify, that's how we should be thinking about things going forward?
Paul Holtz: Yes. Thanks, Scott. Yes. So on the first one, the $27.1 million was just - was prior to the reduction for capitalized software for the quarter. So that was another $2 million that gets you down to a net of $25 million. So that's your number on a kind of go-forward basis. Now that could fluctuate up and down, depending on - variable compensation and then payroll taxes and all that sort of stuff reduce as the year goes on. But $25 million is the net number that, you should be looking at the integration costs that are in there. Those are adjusted out. So those aren't included in those numbers, as those are the one-time items that come out. But so 25% is your number that you should be using for forecasting. And then on the gross margin for solutions, yes, where 40% is our target and what we're looking like to continue on for the rest of the year. Yes, we have, as indicated, had gotten rid of a lot of the lower hardware margin business that came out of that. So that's driving obviously the solutions margin up. And we continue - we're going to continue to see that, for the rest of the year as that business - we're not planning on bringing that business back.
Scott Searle: Perfect. Thanks so much. And if I could then - just lastly, ARPU came down as you guys have been talking about a couple of weeks ago, just in terms of the mix of some of the new business. When you're looking at that pipeline, is that where a majority of the ARPUs are going to be going, so we're going to continue to see that pressure? Or I thought there were a couple of large contracts near term that had skewed that number. So just some thoughts on that front. And since you've had two nice quarters in a row here, starting to move forward with positive free cash flow. Looking out to 2026, Ron, I know it's still early, but how are you feeling about, getting back to double-digit growth on the services, and the connectivity front? Thank you.
Ron Totton: Do you want to take the first one?
Paul Holtz: Yes. So on the first one, so ARPU, like we indicated from a comp perspective, Q1-over-Q1, is a really tough comparison we had a really good spike in usage in Q1, which drove the ARPU up artificially there. But as we indicated last quarter, we had a bunch of devices that were added in Q4 that were at the lower end of the ARPU range. So $0.91 in the current quarter, and we're expected to hopefully stay around that. But if we do add obviously some more, lower ARPU, which we're seeing an uptick on, it could drive down a little bit. But it's really tough to compare to last year, where we had a really high usage quarter that drove it up. If you look at Q2 from last year, you see that our revenue did drop, because of that one-time revenue that would happen in there from usage. So you can see that it is kind of anomaly there.
Ron Totton: Yes, I'll take the second part of that. And maybe if I could, before I do that, Scott. I would say that as far as the pipeline, we're seeing more of a balance with the low and the more, higher ARPU use cases. I think some of those lower ARPU use cases are existing customers expanding their footprint with us. And again, we - that's still very profitable. So an existing customer that's on a lower ARPU, wanting to buy more. We don't want to discourage that. We make good margins on that. In terms of the pipeline, though, I think it's much more balanced between different use cases, and ARPU that is high in some cases. I think that Winnebago press release that we issued, again, that would be very much on a high ARPU basis. So I think that's a good example that would maybe counter some of the lower ARPU cases we spoke about. In terms of, yes '26, yes we spoke two weeks ago about last year, we're talking about Q1 and you're asking about '26. I'm optimistic looking into '26 in terms of our growth rate. We would like to do better than the kind of the current guidance that, we've been giving even in '25. But if you look at just the kind of fundamentals, you look at connections growing you look at the eARR business contributing. You look at the recurring nature of our business, yes, I mean, I don't want to forecast double-digit growth, but certainly, we should be heading in that direction, be a little too early for me in May here to be telling you that, that's what '26 looks like. But we're feeling good. April results were strong. I think Paul has highlighted, yes, a tough comparative quarter. But in terms of just the fundamentals, connections growing, closing business, yes, we're feeling good where we are. And yes, I just got to stay disciplined and stay focused.
Scott Searle: Great, thanks so much. I'll get back in the queue.
Operator: Thank you. [Operator Instructions] Our next question comes from Lance Vitanza with TD Cowen. Please state your question.
Lance Vitanza: Thanks for taking the questions, guys. I wanted to start with the Winnebago win. Could you talk more about how you came to win that business? Was it competitive? How long was that sales process? Were you already doing business with them perhaps in another capacity? And then, I guess for a run of the mill situation like this, if there is such a thing, what would be a reasonable expectation for when this would turn into revenue either on the solutions side, or the connectivity side?
Ron Totton: Yes, sure. Thanks. So Winnebago was a new logo for us, it was a competitive process. They evaluated several other companies. This came to us through a partner. And just trying to think through your questions, what's nice about Winnebago is it does have a minimum revenue commit to it. So we have guaranteed revenue. And then, of course, as usage increases, they start selling more of these new next-generation vehicles. And those vehicles are then out on the road and then, of course, the monthly revenue stream that you're all too familiar with starts kicking in. But what's nice about that particular opportunity is new logo, highly competitive opportunity. And - yes, it has a minimum revenue commitment, which is great for us. But of course, the real growth is going to be, as they kind of roll that out.
Lance Vitanza: Cool nice job on that. Turning to healthcare. Could you talk about the demand environment there as you see it? I mean - and I guess the genesis of the question, is there's a lot going on with Medicare, Medicaid funding, Medicare Advantage in particular. And I'm just wondering if that has any impact on your business? Or is that sort of someone else's problem. And just more generally, regardless of what's going on with the funding, how would you just describe the environment for healthcare, for KORE these days?
Ron Totton: Yes. Yes. So you're - so thanks for the question again. Yes, it doesn't affect us would be the short answer. In terms of Connected Health, this business is, yes, a great business for us. I think that we see growth in this sector, we've closed some new - some of these logos that we talked about. Obviously, remote patient monitoring, one that we featured here with the Connected Health customers. So obviously, this is a very large TAM. It's growing north of 25%. We feel good about our retention within the customer base that we have there. And we have several customers that have multiple divisions that, we've now penetrated and closed deals and now getting revenue, from within those particular customers, which is great for us. So I think the - looking ahead, I would see and think about Connected Health being. Even a larger percentage of revenues and margin than maybe what it was in the second half of last year. We're definitely seeing some great results in that area. And it's obviously been an area where we've been focused on in the past. And yes, we're seeing good strong results there. It definitely feels that even with the tariff, and some of the macro environment challenges is there's new trials being awarded. The very nature, the innovative nature of that sector works really well for us that even through some of the tariff situation that's been uncertain, we haven't seen a blip at all, if anything, we've seen an increase in Connected Health.
Lance Vitanza: Thanks for that. And then, if I could squeeze one more in, actually, just back on Slide 9. And you probably mentioned this, so bear with me, but are those four wins, are they all new logos? Or could some of that represent new projects with existing customers?
Ron Totton: Yes. I think one - I think three or - yes, three are new and one is existing. In fact, we mentioned it being a new division within an existing customer. So again, some people might consider that a new logo. And for us, we don't. That's an existing one. And then I'm also reminded here, by Paul that I didn't answer one of your other parts of your question in - the Winnebago, I want to say the sales cycle was around nine months was the time frame there.
Lance Vitanza: Thanks for circling back on that. But sticking with this idea of new versus existing customers. Just as you sort of take a step back, and think more broadly about the opportunity, obviously, you're getting - you're going to get customers - you're going to get more business from both channels. But do you see - like where should we be thinking that the bulk of the demand, is coming from as we think about the current pipeline, or what you think is doable over the next year? Is it mostly new logos, or is it existing guys? And to the extent that its existing customers - is it them just seeing broader deployment on existing use cases, just shipping out more units under the existing uses? Or are they coming back to your existing customers coming back to you and saying, hi, we want to launch a new a new application. And so there's a whole new set - holder setup that's involved?
Ron Totton: Yes. No, good well thought out question. I will want to get back to you with the specific percentage, but based on thinking about sales force, I would say that, certainly, we're more weighted towards, and I'll just use a number to be validated later, 75% new 25% existing. And part of that is with existing customers, it's in some cases, harder to forecast where that demand is going to come from, like they're an existing customer. And yes, if they have a new division, if they have a new deployment, yes, then those would represent in the kind of in the pipeline. But yes, I would probably think about it in those terms, and we'll come back and validate those numbers. For us, and I've touched on it multiple times, having now approaching 20 million connections, working those existing customers it's a real asset for us. And then obviously, the goal is to find, and add the new logos in addition to that. So that where we - from the last few questions related to growth, and then the earlier question related to '26, I mean that's where we start to see growth really starting to accelerate, from last year and this year being relatively conservative in terms of the growth rate. So I don't know, Paul, if you have anything to add to that?
Paul Holtz: No. I think on the existing side of things, right now, the growth that we would see from there would be, as Ron mentioned, from new departments that are looking to consolidate vendors, and basically bring all connectivity to one versus having multiple vendors. So we're being opened up to other parts of the organizations. I think that's will be where majority of the existing customer growth to come from.
Lance Vitanza: Thanks very much, guys.
Operator: Yes, thank you. And ladies and gentleman, we have reached the end of the Q&A session. I'll now hand the floor back to Ron Totton for closing remarks.
Ron Totton: Yes. Thank you, everyone, for joining us for today's earnings call. We spoke only a few weeks ago, but it was great to be here today, and we look forward to updating you on our progress next quarter, with our second quarter results in August time frame. Thank you, and have a good evening.
Operator: Thank you. This concludes today's call. All parties may disconnect. Have a good day.